Ken Posner: Good morning. My name is Ken Posner, and I'm SVP of Strategic Planning and Investor Relations at Mr. Cooper Group Inc. With me today are Jay Bray, Chairman and CEO, Mike Weinbach, President, and Kurt Johnson, Executive Vice President and CFO. This morning, we will be reviewing the company's financial performance for the first quarter of 2025. You can find the slides accompanying our remarks on our Investor Relations webpage at investors.mrcoopergroup.com. As a reminder, we may refer to non-GAAP measures, which are reconciled to GAAP results in the appendix to the slide deck. Also, we may make forward-looking statements, which should be understood could be affected by risk factors that we've identified in our 10-Ks and other SEC filings. We are not undertaking any commitment to update these statements if conditions change. With that, I'll turn it over to Jay.
Jay Bray: Good morning, everyone. We look forward to sharing our thoughts on our first quarter financial results. But first, I want to note that due to the pending combination with Rocket, which was announced on March 31st, we will not be taking questions this morning. I'll start my comments with some personal thoughts on the combination with Rocket. This transaction is about creating a scaled homeownership experience. By pooling our talent, data, and technology, we are going to totally reimagine the homeownership journey from start to finish and harness the transformative power of AI to bring our customers a truly amazing experience. For our investors, the industrial logic is compelling, and this transaction presents the opportunity for our shareholders to participate in the upside of the combined company. At Mr. Cooper Group Inc., we've worked for years to perfect our servicing platform, which is digital, efficient, and highly scalable. Our multi-decade track record of customer growth and resilient profitability speaks for itself, as do the accolades for operational excellence we've earned from investors and clients. Now, by combining our platform with Rocket's iconic brand and marketing capabilities, we're creating a fully integrated homeownership platform with unmatched capabilities. Finally, as I've shared before, the two cultures are very complementary, and integration teams are already synced and planning for how to bring our business together once the transaction closes. I cannot be more thrilled to be part of this joint effort to usher in the industry's future. And with that, I'm going to start on slide three with a review of first-quarter highlights. Then I'll turn it over to Mike to take you through a more detailed discussion of operating results, and Kurt will wrap up with financials. In summary, this was another solid quarter, demonstrating the power of our at-scale platform to produce consistent, recurring, and predictable results. ROTCE was 16.8%, up from 15.8% last quarter, as we are seeing the benefits from the Flagstar acquisition start to flow through. I'm really pleased that we've moved so quickly into the 16% to 20% guidance range we shared with you just last quarter. The key things behind this performance remain the same: operating leverage, fee income, and strong execution in our origination segment. All of this reflects the investments we've made in technology and operations over many years. That and the talent and great work of our people, to whom I will once again say thank you for what you have built. The balance sheet is in great shape with a super strong capital ratio of 25.5%. Liquidity is already backed up to $3.9 billion, and consistent performance on our MSR hedge and delinquencies declining in the quarter to 1.1%, which speaks to the sterling asset quality of our book. Balance sheet strength is non-negotiable for industry leaders, and it's especially important during periods of elevated uncertainty, such as the markets are currently experiencing. During the servicing, Flagstar was the biggest acquisition in our history, and I'm pleased to report that since closing the transaction last quarter, we have now onboarded all our new customers and team members, and we're right on schedule with integration. Thanks to growth, operating leverage, and low speeds, servicing generated $332 million in pretax income at the high end of our guidance range. Originations outperformed our guidance, with $53 million in pretax income. I'd call out very strong momentum in home equity loans and cash-out refinance, which we view as a massive long-term growth opportunity regardless of the interest rate environment. Last quarter, we earned the prestigious Sharp Gold Award for Freddie Mac, recognizing the operational excellence of our servicing platform. In this quarter, we were thrilled to win the Fannie Mae Star Award. In fact, we were the only servicer in the country to earn star recognition in all three categories for this award: general servicing, solution delivery, and timeline management. This recognition is important because it illustrates a key success factor behind our long-term growth, namely the value we deliver as a service to our business partners, including agency, government, and private investors, and our subservicing clients. We deliver this value because we wake up every morning asking the question, "How can we earn our partners' trust?" And you see the result of our focus in these operational scorecards. And with that, I'll turn it over to Mike.
Mike Weinbach: Thanks, Jay, and good morning, everyone. If you'll turn to slide four, I'll start with the servicing segment, where we reported pretax income of $332 million in the first quarter, which was up 22% year over year. This was at the high end of our guidance range in part due to slower than expected CPR speeds and lower amortization. Earnings also benefited from operating leverage. If you look year over year, servicing operating expenses declined as a percentage of the portfolio by 136 basis points, and that's even before we've fully integrated the Flagstar operation onto our platform. Jay mentioned that Flagstar was the company's largest acquisition, and the onboarding went exceptionally well as measured by customer delight metrics such as speed to answer, abandonment rate, and first call resolution have remained consistently atop the industry levels. Obviously, we have a tremendous amount of experience with large portfolios, and I'd add that we're constantly improving our processes, which has helped make this a very smooth and welcoming experience for our new customers. Also contributing to our strong performance is Agent IQ, which we highlighted for you last quarter following the rollout to the 1,400 agents in call centers. As a reminder, this AI-powered tool synthesizes the insights gleaned from millions of customer interactions and puts relevant prompts on the screen, allowing agents to empathetically focus on the customer while providing answers quickly and efficiently. With respect to AI in the call center, we're only scratching the surface of what's possible in terms of customer experience and efficiency. The total portfolio was down slightly in the quarter, ending at $1.5 trillion, which is equivalent to just over 6.4 million customers. As we pointed out last quarter, we shifted about $60 billion in subserviced loans to other servicers as was contemplated in the Flagstar transaction. Outside of these deboardings, our subservicing portfolio grew organically by 2% quarter over quarter as we're growing with our clients, which includes some of the strongest originators and investors in the industry. I'd add that we're also in advanced discussions with potential new clients and optimistic about winning new books of business. Our own portfolio was roughly flat quarter over quarter at just over $730 billion. We benefited from strong volumes in the correspondent channel and closed roughly $7 billion in bulk acquisitions. We're continuing to analyze and bid selectively on pools that meet our yield targets. So now let's move on to slide five and talk about originations, where we generated $53 million in EBT, which was slightly above our guidance range. Volumes were strong in the correspondent channel, where we've made a number of investments and operational enhancements over the last 18 months. During March, we were the number four originator in this channel. In the DTC channel, we're enjoying very strong momentum with cash-outs and second liens. Cash-outs made up 46% of volume, up from 39% last quarter, while second liens grew from 12% to 21%. Putting this in context of customer benefits, during the quarter, we helped over 9,000 customers access equity in their homes and helped nearly 2,000 customers reduce their monthly payments or purchase a new home. Cash-outs and second liens are turning out to be a very popular method for customers to tap the equity in their home. And as you know, they typically use this liquidity for debt consolidation, home improvements, and other major expenses. Regardless of the use, these products cost much less than most credit cards, and that's even before considering the tax deductibility of mortgage interest. So you can make a strong argument that this is one of the most sensible ways for homeowners to access liquidity. We believe there's a long runway to fully meet this demand, with 94% of our customers having at least 20% equity in their homes, and our customers' total equity in the neighborhood of $700 billion. Just to update you, our refinance recapture rate was a little over 50% in the quarter. And bear in mind, we don't count second liens in this ratio as some of our peers do. Clearly, the current environment offers limited opportunity for rate and term refis, but our DTC team is very nimble, and with even brief rallies in rates, we can move quickly to help customers save money, as you saw in the third quarter last year. As of quarter end, 21% of our portfolio had note rates of 6% or higher, which is indicative of a sizable opportunity when rates next rally. I'll wrap up here by adding to Jay's comment about the excitement we feel about joining forces with Rocket. With Rocket's iconic brand and marketing skills, its leading JD Power service levels, its highly scalable origination platform, and our shared commitment to investing in AI, digital, and other technologies, there's so much more we'll be able to do for our customers over time. Whether it's through refi, second liens, purchase mortgages, title insurance, or closing services, we think the combination will create a true end-to-end homeownership ecosystem and an incredibly valuable platform with customers for life. With that, I'll turn the call over to Kurt.
Kurt Johnson: Thanks, Mike. Good morning, everyone. I'll start on slide six and go through our financials. To summarize, net income was $88 million, which includes $255 million in pretax operating earnings offset by an $82 million negative MSR mark net of hedges and adjustments of $68 million. Mike commented on origination and servicing segment earnings, and I'll add the corporate overhead segment expenses of $51 million were in line with our guidance from last quarter. Let me start by unpacking the adjustments. First, there were $26 million in transaction and transition charges primarily related to the Flagstar integration. Second, as you recall last quarter, we incurred a charge for a legal ruling. This quarter, we took an additional $33 million charge associated with the legal fees, which closes out all liabilities stemming from this ruling. Finally, there are some miscellaneous adjustments associated with losses on equity investments, a slight operating loss from the Flagstar TPO platform we sold at the end of the quarter, and a positive reserve release related to the HomePoint acquisition. Full details are, as always, listed in the appendix to today's slide deck. Turning to the mark-to-market line, we marked down the MSR to reflect falling interest rates and expectations for higher CPRs, leading to a quarter-end valuation of 155 basis points of UPB or a 5.4 multiple of the base servicing strip. Offsetting this loss were $209 million in hedge gains, which equates to a 72% coverage ratio, slightly below our 75% target. We're extremely pleased with the hedge's consistent performance, which over the last eight quarters has contributed to stable and predictable results. Our target hedge remains 75%. If you'll turn to slide seven, I'll briefly touch on asset quality. Our high-quality mortgage portfolio continues to perform extremely well, with MSR delinquencies down by nine basis points to 1.1%. Low delinquencies reflect our thoughtful portfolio construction, which you can see in the high FICO scores and low LTV ratios for our customers, as well as our strong loss mitigation capacity, which is one of the key factors that Fannie and Freddie measure in their operational scorecards, and which is recognized in our winning the Sharp and Star awards. I'd like to call out our exceptional performance with Ginnie Mae Loans, where delinquencies fell by 50 basis points for both FHA and VA loans, significantly outperforming the industry. And I'd love to give kudos to our leaders in servicing and loss mitigation for helping our customers stay in their homes as well as providing great results for our subservicing clients. We don't try to forecast overall consumer credit cycles, but we have deep experience managing delinquent portfolios. Additionally, we have extremely valuable capabilities in Zone and Rushmore special servicing. If the environment turned more adverse, we believe Mr. Cooper Group Inc. and our investors would be extremely well protected. Turning to slide eight, I'll end my remarks with an update on our key balance sheet metrics. Liquidity ended the quarter at $3.9 billion, up from $3.4 billion in the fourth quarter, as we used operating cash flow to pay down $350 million in MSR lines. It was nice to see liquidity rebound so quickly following the Flagstar acquisition, which speaks to our extremely robust cash flow running at an annual rate of nearly $1 billion in terms of steady-state discretionary cash flow. At the same time, we upsized our borrowing capacity by $200 million and have begun renegotiating our existing MSR facilities to extend maturities through 2027. Our capital ratio, as measured by tangible net worth to assets, is up from 24.4% last quarter. The increase was partially the result of a 21% decline in advances, which reflects typical seasonal trends. Tangible equity also benefited from strong earnings and the absence of stock repurchases during the quarter, which we suspended in advance of the Rocket transaction. Looking ahead, we do not expect to repurchase stock prior to the close of the transaction, which we expect to occur in the fourth quarter of 2025, subject to approval of Mr. Cooper Group Inc. shareholders and the satisfaction of other closing conditions, including customary regulatory approval. Finally, I want to comment on our $500 million in senior notes maturing in February 2026, which are now callable at par. Due to our strong capital and cash flow generation, we have the option to retire the notes early, which is an option that we are actively evaluating and which should not have a material impact on our liquidity profile given the cessation of our stock repurchases. With that, I'll close out our remarks. Thank you for your interest in Mr. Cooper Group Inc.